Operator: Good morning, ladies and gentlemen, and welcome to the Howmet Aerospace Fourth Quarter 2020 Results Conference Call. My name is Sia, and I will be the operator for today. [Operator Instructions] As a reminder, today’s conference is being recorded for replay purposes. I would now like to turn the conference call over to your host for today, Paul Luther, Vice President of Investor Relations. Please proceed.
Paul Luther: Thank you, Sia. Good morning, and welcome to the Howmet Aerospace Fourth Quarter 2020 and Full-year 2020 Results Conference Call. I’m joined by John Plant, Executive Chairman and Co-Chief Executive Officer; Toga Oal, Co-Chief Executive Officer; and Ken Giacobbe, Executive Vice President and Chief Financial Officer. After comments by John, Tolga and Ken, we will have a question-and-answer session. I would like to remind you that this discussion will contain Forward-Looking Statements relating to future events and expectations. You can find factors that could cause the Company’s actual results to differ materially from these projections listed in today’s presentation and earnings press release and in our most recent SEC filings. In addition, we have included some non-GAAP financial measures in our discussion. Reconciliations to the most directly comparable GAAP financial measures can be found in today’s press release and in the appendix in today’s presentation. With that, I would like to turn the call over to John.
John Plant: Thanks, PT, and welcome, everyone, to our fourth quarter call. Following the same format as last quarter’s earnings call. I plan to give an overview of the fourth quarter Howmet performance, Tolga will then speak to segment information, and Ken will provide further financial detail. I will return to talk to the outlook for the 2021 financial year. So please move to Slide number 4. And first, let me provide some qualitative commentary regarding the fourth quarter before moving on to specific numbers. The fourth quarter played out as expected and guided. In fact, the results were above both consensus and the improved outlook that we provided in November. Revenues rose compared to the third quarter due to the lesser impact of commercial aerospace inventory corrections. Performance improved again and the decremental margin year-over-year was 24%, which was an improvement from the decremental margin in the third quarter, which was 37%. The incremental margin on the revenues benefited from the utilization of labor that we held onto in the third quarter in order to meet the expected increase in fourth quarter revenues, which were 9% as approximately forecast. Furthermore, the third quarter included the $8 million write-down of a long-term contracts that we bought out. Moving to specific numbers. Revenues improved over the third quarter by 9% and were 29% lower than the fourth quarter of 2019 due to the reductions in commercial aerospace. The fourth quarter EBITDA margin was 22.8% and ahead of outlook. The fourth quarter EBITDA margin in 2020 was, in fact, the same as the fourth quarter of 2019, while mitigating the market reductions and commercial aerospace adverse mix. Performance was driven by permanent cost reductions and price increases. And lastly, the fourth quarter earnings per share was 21%, again, ahead of consensus and at the top end of our outlook range. Moving to cash. Free cash flow for the fourth quarter was positive at $268 million, which is the third consecutive quarter of positive free cash flow since separation. As you know, we define free cash flow very conservatively as the net cash after everything, i.e., after pension after AR securitization, paydown, et cetera. Q2 through the Q4 free cash flow was $487 million and above the outlook. The $487 million includes an $80 million reduction in accounts receivable securitization. A $70 million of cash flow to pay down in incremental voluntary pension contributions. $47 million of severance costs, and we did receive a $45 million tax refund. Without these onetime items, free cash flow would indeed have been $638 million. Full-year free cash flow as a percentage of net income was 115%, well above our guide of approximately 90%, and would have been approximately 160%, excluding the onetime items mentioned. Year-end cash balance was also ahead of outlook at $1.6 billion after repurchasing $73 million of common stock throughout the year at an average price of $18.98. Now let me turn it over to Tolga to highlight segment performance.
Tolga Oal: Thank you, John. So let’s move to Slide number5, please. [indiscernible] of our people is a top priority as the COVID continue to increase worldwide in the fourth quarter. Our operations secured continuously and customer demand with no major events. Our segments remain focused on the cost containment and cash preservation targets in the fourth quarter. Structural cost reductions exceeded the outlook. Effective variable costs to the extent and furloughs continued in specific locations to manage the sales fluctuations in different segments. Cash management actions continue with Class B. Strict capital expenditure control, strong accounts receivable collections and effective inventory management with the key customers stranded inventory discussions in the background contributed to Howmet’s fourth quarter cash performance. Let’s move to slide 6 please. I will start with engine products. Commercial aerospace revenue showed quarterly improvement, with the third quarter seasonal shutdown impacts not repeating and inventory adjustments slowing in line with our expectations. Defense aerospace and industrial gas turbine growth continued in the fourth quarter. Effective variable cost flexing and driving permanent cost-outs ahead of the plan, have contributed to our incremental margins from the engine side in the fourth quarter. We are expecting the strengthen inventory discussion with our key customers to continue. Fastening Systems Industrial business continued to grow, balancing the timing of commercial aerospace distribution business in the fourth quarter. I mentioned in our last earnings release that the Fastening business is the highest number of locations and permanent cost reductions gained traction across these locations in fourth quarter. We continue to bridge the timing of pending reductions with targeted furloughs and successful variable cost flexing, improving our operating margins with relatively flat revenue in the fourth quarter versus third quarter. The Engineered Structures segment revenue showed a small increase in fourth quarter versus third quarter, while we continue level loading our operations for an optimized operating model for long lead time orders. We are ahead of our Costa plants as we implemented additional headcount reductions to get ready for the latest announcements in the 787 build rates. Costa plants are running ahead of plan and contributed to incremental margins also on the Structural segment. Commercial vehicle market recovery in the fourth quarter led to a record quarterly profit margin for the build segment. While the build markets continue to recover, increasing our low-cost country content, keeping permanent costs compressed and increasing the share of our revolutionary 39 pounds wheels, led to very healthy incremental margins in the fourth quarter. Let me now turn it over to Ken to provide more details on the financials.
Kenneth Giacobbe: Thank you, Tolga. Now let’s move to Slide 7. For additional details on the fourth quarter, let’s start with revenue. As expected, revenue was down 29% year-over-year, driven by a 51% reduction in commercial aerospace and a 10% reduction in commercial transportation. These markets were partially offset by continued growth in defense, aerospace and industrial gas turbine markets. On a sequential basis, although commercial aerospace grew 5%, we do not expect a meaningful recovery in commercial aerospace in the first quarter of 2021 due to lingering customer inventory corrections. Regarding the defense aerospace, commercial transportation and IGT markets, they all had double-digit sequential growth. Operating income, excluding special items was down 28% year-over-year, with commercial aerospace representing 40% of total revenue compared to 60% in 2019. Permanent cost reductions and price increases continued in the quarter. Permanent cost reductions were $60 million in the quarter and $197 million for the year, which were ahead of our outlook. Price increases were $11 million for the quarter and $39 million for the year, which were in-line with our expectations. Decremental and margins improved to 24% in the fourth quarter compared to 37% in the third quarter. Fourth quarter earnings per share was $0.21, which was ahead of consensus and at the top end of the outlook range. Moving to the balance sheet and cash flow. John covered the full-year and post separation numbers, which were ahead of the outlook. I would add that in the fourth quarter, we finished the year with $1.6 billion of cash after repurchasing an additional $22 million of common stock in the quarter at an average price of $23.99. The remaining common stock repurchase authority from the Board of Directors is $277 million. Lastly, net debt-to-EBITDA was 3.2 times and our revolving credit facility of $1 billion remains undrawn. Please move to Slide 8. Slide 8 is a summary of EBITDA margin performance. The fourth quarter EBITDA margin of 22.8% was ahead of the outlook and at the same level as the fourth quarter of 2019 despite a 29% revenue decline in an unfavorable commercial aerospace mix. The improvement in EBITDA margin was driven by price increases, variable cost selection and permanent cost reductions. Now let’s move to Slide 9. Before moving into the revenue and segment profitability, I would point out that the fourth quarter revenue was in-line with the outlook at 1.238 billion, while profit was more than 10% or $27 million better than the outlook. Now for more detail on fourth quarter year-over-year revenue performance. Revenue was down 29%, driven by commercial aerospace, which continues to represent approximately 40% of total revenue in the quarter. As previously mentioned, commercial aerospace was down 51% year-over-year, which showed a 5% sequential increase. Our second largest market, defense aerospace continued to show growth and was up 24% in the quarter and 10% sequentially driven by demand for the joint strike fighter on both new airplane builds and engine spares. Our next largest market, commercial transportation, which impacts both the forged wheels and the Fastening Systems segments, was down 10% year-over-year. We continue to see favorable trends for increased demand in this market improved 15% sequentially. Finally, industrial and other markets, which is comprised of IGT, oil and gas and general industrial was flat, but up 12% sequentially. IGT, which makes up 45% of this market continues to be strong, and was up 38% year-over-year and up 3% sequentially. Moving to Slide 10. We will quickly cover full-year revenue performance. For the full-year, revenue was down 29%, driven by commercial aerospace, which was down 38%. Commercial aerospace represented approximately 50% of revenue, which was down from approximately 60% in 2019. Defense aerospace was strong throughout the year and was up 14%. Defense aerospace represents almost 20% of the total revenue. Commercial transportation was down 31% for the year, but showed a strong recovery trend in the third and fourth quarters. Finally, the industrial and other markets was up 1%, with IGT up 28% as the IGT market rebounds from a weak level in 2019. Now let’s move to Slide 11 for the segment results. As expected, engine products year-over-year revenue was down 33% in the fourth quarter. Commercial aerospace in the segment was down 58%, driven by customer inventory corrections. Commercial aerospace was partially offset by a 30% year-over-year increase in defense aerospace and a 38% increase in IGT, as IGT benefits from continued favorable natural gas prices. Decremental margins for engines improved to 18% for the quarter compared to 34% in the third quarter. In the appendix of the presentation, we provided a schedule that shows how all of the segment’s decremental margins improved from the third quarter to the fourth quarter. Now let’s move to Fastening Systems on Slide 12. Also as expected, Fastening Systems year-over-year revenue was down 30% in the fourth quarter. Commercial aerospace in the segment was down 38%, and commercial transportation was down 21%. Like the engine segment, we continue to experience inventory corrections in the commercial aerospace market. Decremental margins for Fastening Systems improved to 45% for the quarter compared to 58% in the third quarter. Now let’s move to Engineered Structures on Slide 13. Engineered Structures year-over-year revenue was down 30% in the fourth quarter. Commercial aerospace in the segment was down 52%, driven by customer inventory corrections and production declines for both the 787 and 737 MAX platforms. Commercial aerospace was partially offset by a 40% year-over-year increase in defense aerospace. Decremental margins for engineered structures improved 24% for the quarter compared to 27% in the third quarter. Lastly, let’s please move to Slide 14 for Forged Wheels. Forged Wheels revenue was down 6% year-over-year, but increased 18% sequentially as expected. Despite the lower revenues, the wheel segment’s operating profit was higher than last year, and operating profit margin was at a record high of 30%. The improved margin was driven by continued cost reductions. Moreover, with the reduced volumes, we are able to shift production temporarily to low-cost countries, including Hungary and Mexico, which improved our margins. Lastly, we have been increasing market share with a new innovative 39-pound wheel. Now let’s move to Slide 15 for special items. Special items for the quarter were a benefit of approximately $14 million after tax, primarily due to insurance proceeds received for fires at 2 of our plants. Additionally, a favorable outcome of a Spanish tax assessment primarily offset our severance cost. I would like to comment and provide further perspective on how much post separation special items. For the past two years, we have undertook a major restructuring and performance improvement program, including the separation of Arconic Corporation. Post separation, the after-tax charges of the 2020 were approximately $100 million driven by two items: first, a voluntary U.K. pension settlement charge of $55 million in the second quarter, which reduced our gross pension liability by $320 million. And then second, in April, we paid down and refinanced our debt and an after-tax cost of $50 million. The refinancing added $420 million of cash to the balance sheet and refinanced a portion of the 2021 and 2022 bonds to a maturity in May of 2025. Regarding the balance, the other special items, they have pretty much all netted out. So now let’s move to the capital structure and liquidity on Slide 16. We continue to focus on improving our capital structure and liquidity. All debt is unsecured, and our next significant maturity is October 2024. Gross debt at the end of 2020 was $1.5 billion and net debt was $3.5 billion. Strong cash generation in the year has reduced our net debt by approximately $370 million since separation. Moreover, as we previously mentioned, we decreased our U.K. gross pension liability by $320 million. A few additional items of note. First, our $1 billion five-year revolving credit facility remains undrawn. Second, we have reduced our AR securitization by $100 million in 2020. This reduction in AR sold was effectively a repayment of debt, which increases working capital and reduced our 2020 adjusted free cash flow, as John mentioned. Lastly, on January 15, 2021, we used cash on hand to complete the redemption at par of our 2021 bonds that were due in April. By paying down the bonds three months early, had no additional cost. We saved $5 million of interest costs. On an annual basis, interest costs are reduced by approximately $19 million. Now let me turn it back over to John.
John Plant: Thank you, Ken, and please move to Slide 17 for closing remarks on the fourth quarter and 2020 before we are talking about the 2021 outlook. Revenues is in line with the outlook, while profit and margin exceeded. Our differentiated products and ability to scale resulted in price increases in line with expectations. Permanent cost reductions continued and accelerated throughout the year, which also exceeded our outlook. Fourth quarter EBITDA margin rate of 22.8% exceeded the outlook and was at the same level as the fourth quarter of 2019 despite some 29% less revenue and an unfavorable commercial aerospace mix. Regarding liquidity, adjusted free cash flow and cash balance exceeded our outlook. Full-year accounts receivable securitization was reduced by $100 million and voluntary pension contributions were made of $70 million. While severance costs $51 million were incurred, albeit we had tax refunds of some $78 million. Full-year CapEx was favorable to the outlook at 3% of revenue. The $155 million spent was over $100 million less than the depreciation of $269 million. Adjusted free cash flow was ahead of outlook at $487 million for the second through fourth quarters, and $387 million for the full-year. Net debt was reduced by $370 million since separation. Additionally, the gross pension liability was reduced by some $320 million. Cash increased to $1.6 billion, a $100 million beat to guide after the repurchasing of $73 million of common stock throughout the year at an average price of $18.98. 2020 was another year of heavy lifting, after separation, we refinanced the balance sheet phased into the COVID pandemic and the impact on our operations and sales demand and further improved balance sheet. Now let’s move on to Slide 18. First, let me comment on the 2021 outlook qualitatively. Our end markets of defense, aerospace, commercial transportation and industrial gas turbines continue to be healthy and growing. Commercial aerospace has less visibility and reflects our view regarding the global vaccine rollout, its acceptance and potential impact on travel. Airline travel should improve, especially for shortfall routes, which may help dissipate narrow-body inventories, especially for Boeing. We expect to improved clarity on these factors as we move through 2021. Regarding commercial aerospace, we expect increased aircraft build, especially as we move forward into 2022 and beyond. This will help both inventory clearance and shift to an inventory build situation, which will help rebuild the pipeline of aircraft parts. Now let’s move to the specific numbers. Revenue for the first quarter is expected to be $1.2 billion, plus or minus $50 million. For EBITDA, we provided you with a baseline figure with a range of minus $5 million to plus $15 million, so between $245 million and $265 million. Our EBITDA margin is ranged from 20.8% to 21.3%. And earnings per share is at $0.16 baseline with a range of $0.15 to $0.19. In Q1 2021, we expect commercial aerospace to be down a little from Q4 due to lingering inventory corrections. Please note that for the second quarter, third quarter and fourth quarter average was $1.208 million, and the baseline guide is in-line with the average of the last three quarters. For the year, we expect revenues of $5.1 billion at baseline with a range of $5.05 billion to $525 billion, in other words, minus $50 plus $150. EBITDA baseline of $1.1 billion with a range of $1.07 billion to $1.15 billion, again, minus $32 plus $50. EBITDA margin, 21.6% for the year with a range of 21.2% to 21.9%.Earnings per share baseline at $0.80 with a range of $0.75 to $0.89. And free cash flow at $400 million, plus or minus $50 million. Let me provide you with a few assumptions. The cost restructuring carryover into 2021 will be $100 million. Price increases are expected to be above the 2020 increases. Pension/OPEB cash contributions are expected to be about $160 million compared to last year’s $236 million. The operational tax rate is in the range 26.5% to 28.5%, similar to the average rate for 2020 at 27.5%. Adjusted free cash flow conversion is expected to be 115%, again above our long-term outlook of 90%. The cash tax rate will increase to about 15%. And CapEx, we have put in the range of $200 million to $220 million. Maybe a couple of further comments to put 2021 into perspective. You can see by the revenue guide of $1.2 billion for the first quarter versus $5.1 billion for the year at baseline, but there is an expectation that quarterly revenue begins to accelerate during the year. Margins are respectable and above 2020 year. And in our baseline versus the normal outlook award we use, we have a smaller, lower bandwidth to the downside and a higher bandwidth of the upside. That concludes my commentary before we move to question and answer. Thank you.
Operator: Thank you. [Operator Instructions] And the first question will come from Gautam Khanna with Cowen. Please go ahead.
Gautam Khanna: Yes, thanks, good morning guys. John and Ken, I was wondering if you could give us a little bit more of your assumptions on Q1 and 2021 guidance. Because it looks like it is sequentially lower in Q1, the implied EBITDA margin for the year is below that of Q4. And I’m just wondering if mix worsened sequentially if the 787 situation has gotten worse from what you last updated us on in November. What kind of explains the sequential? And then If I could have a follow-up after that. Thank you.
John Plant: Let me have a go at that Gautam. And I mean, I will give you a round number. So last year, our second quarter revenues were 12 50, Q3 11 30, Q4 12 40, give or take, $1 million or so. And that average is at 1208. So what we placed what we call baseline, at 1,200 with a bandwidth around it plus or minus 50. So our view is that Q1 is essentially the same as the average of the last three quarters. With my feeling or I would say, statement is that Q2, we were not seeing much by way of customer inventory reductions, although we had the impact of certain customer plants being closed as we went into April last year. And then significant inventory corrections in the third quarter, in particular, and a lower correction in the first quarter. Right now, it just feels as though things are pretty opaque. And essentially, the rollout of the vaccine, the airline load factors. In fact, if anything, airline load factors have reduced substantially in Europe with the almost closing down of travel in certain countries, particularly into the U.K. and an international air travel has actually become, if anything, a little bit more problematical rather than improving. And so right now, there is little to observe and celebrate. And then you look at the rollout of the vaccine, in particular, and that feels also below that, which we could have or maybe should have expected. And indeed, some of the process to actually get that into people’s arms has also been, I will say, underwhelming. And I can talk from personal experience, having got my first chart a couple of weeks ago, and just the whole process even trying to register and get the vaccine, never mind, is it going to be available for the second shot. So that whole rollout has been, let’s say, underwhelming. And so when you think about travel at the moment and therefore, what is the impact on build, there is little to the upside and celebrate. And so we just say first quarter is roughly in line with the average of about three quarters. That is best we can see. I mean it is a bandwidth of variability around it. So it could be, as we put what we call baseline rather than outlook, to try to say this is what we think is like that what you can rely upon with a relatively small downside and with a relatively higher upside. So we have given you an asymmetrical picture compared to what we normally do of just giving you a midpoint and a plus or minus around it. And we did that at EBITDA margin in the first quarter. And then for the year, we also gave you an asymmetrical picture, calling one baseline and then a lesser reduction and a higher upside. And it really is - it is the degree of opaqueness regarding the future demand. I mean we have had the courage again to provide not just guidance for the quarter, but guidance for the year. And I just don’t want to get ahead of ourselves ahead of our skis at the moment and say, do we really have the absolute foresight to see the full-year. And I think any reasonable person would say, it is difficult when there is so many factors that you don’t yet understand. I mean, while commercial transportation feels pretty solid. The defense and industrial markets for us, still pretty solid. The oil and gas market is looking better, with the improvement in oil prices and natural gas is still sort of being the prevalent fossil fuel used in power stations. All of that is to the good. And then there is the commercial aerospace. Commercial aero, while we did see a lower inventory takeout in the fourth quarter, you are still 51% down year-on-year. And at the moment, we don’t yet have the courage to say it is going to get significantly better either in the first quarter or in the first half of this year. I mean the bright news on the horizon appears to be that airbus have indicated an increasing build rate for the A320, which is great, and that will map up inventory, we think, in the course of the year and maybe give us a build situation. Whereas on the 737, we haven’t had any significant news one way or the other. And on 787, it is a little bit reduced from what we thought. So again, taking in the context of it is a baseline, it is a view. And we are hoping that the view for the incremental revenues. We do see that as we move through the year. And that is why I commented $1.2 billion for the first quarter, let’s say, 5.1 with that asymmetrical bundle with around that. Should give us, hopefully, I will say, a higher run rate into the back half of the year. Does that cover it out, Gautam?
Gautam Khanna: It does. And maybe you can give us, based on what you know as of now, late in Q1, middle of Q1. What segments do you expect to be sequentially up or sequentially down if you have that visibility at this point?
John Plant: I probably have good thoughts around the commercial transportation business being slightly up and just find myself cautious around commercial aerospace. With the others, I’m going to call it roughly in-line. I recognize I didn’t really talk much to the margin question. You answered, let me cover that out as well. So in my thoughts around the first quarter is - we have guided in that, I think, give or take, 21% or possibly even a higher numbers over 2021. Conceivably, because I feel stronger about the margin than I do, the revenue side, you could be at the full end of that. But why do I think, first of all, it is higher than 2020, so I think that is good to say that we are confident that our first quarter is going to be at a run rate higher than 2020. And I do recognize that at the moment, we are saying that it is probably not quite as good as the fourth quarter. And put that, you can assume that is within the bandwidth of the whole of the uncertainty around the commercial aerospace market at the moment, which we choose to be cautious about. Because we just don’t feel as that we know enough and don’t feel on solid ground enough at this point in time. While we hope for better, we are just planning to be in the zone where we feel confident at this point. So hopefully that covers out the margin side of it as well for you.
Gautam Khanna: Thank you.
Operator: The next question will come from Carter Copeland with Melius Research. Please go ahead.
Carter Copeland: Hi good morning. Just a quick follow-up to that. On the variable cost flexing and furloughs, can you give us a sense of how much of that is a headwind to the profit in 2021 that is built into your plan?
John Plant: At the moment, we have just said to ourselves, there is the potential that we may need, and we hope to bring people back from furlough. There may be some, let’s say, required retraining, just to make sure we are on top of our game because we treat both quality promises and our delivery promise is very serious. Despite all that, I will say, pandemic disruption last year that are both our quality indices and every indices were actually improved again. And we do want to maintain that track record. So we have assumed that there may be a little bit of drag from bringing people back earlier than immediately for the demand profile. Just to make sure that the end of full train, fully ready to go. Just the same as in our third quarter, we did hold on to some labor ready for the fourth quarter, and you saw that was good. And so again, it is just a planning assumption. We have not brought anybody back just yet. But we are hopeful that we have that problem to do with because that does lead to better days ahead for us because that is what I call a high quality problem, and it is just a matter of then the efficiency in which we do that process, Carter.
Carter Copeland: Okay. And then just another real quick one. On the forged wheels, low-cost sourcing and the Hungary move, can you give us a sense of how much of that transition has now taken place. Is it substantially complete? And when did it all get transferred over? Just is there any additional benefit that we should think it is still rolling its way in, in 2021?
John Plant: Yes. So first of all, for the investment we made in, we have been utilizing that. And we have been increasingly staffing that. And there is still more to come in that regard from where we were in the third and fourth quarters last year. So in terms of utilization of that new plants because we have tend to try to use the move on say, necessarily some of the old because of the efficiency we can gain from it. And therefore, the margin, there is still some to come in the first half of 2021. We also been adjusting our manufacturing footprint, which, again, to the benefits and chosen to invest some more monies into Hungary for our wheels business. And that basically will come on stream during the fourth quarter of 2021, all leading to, I think, healthy towards the run rate as we exit the year, but really leading us to 2022. So my previous commentaries that we have seen, as you know, 2022 to be at similar levels to 2019 and then 2023 above, all of that still holds. And at the moment, you have seen what I think shows a really strong incremental margin in the fourth quarter. So as volume has come back into one of our divisions, then that incremental margin was tremendous. I hesitate to give you the number because it just sounds so good. I mean, you can give it later if it needs to. But basically, I will call, fabulous incremental margin on that, which if everything works out as planned, we hope to replicate that in our commercial aerospace businesses when we begin to see some volume recovery. And while we feel confident we are going to see recovery in the future. It is still a matter of what will it be and when.
Carter Copeland: Great. Thanks for the color John.
John Plant: Thank you.
Operator: The next question will come from Robert Stallard with Vertical Research. Please go ahead.
Robert Stallard: Thanks so much. Good morning. John, I just had to follow-up on what you said earlier on Airbus and the A320 and also Boeing on the MAX. And the bottom line is this is how much inventory do you think there is still in the chain as it relates to your product? And when can we see this point where we go from sort of destocking to restocking and what sort of forecast have you built for that into your 2021 numbers?
John Plant: Okay. So when we originally built plan for 2021, we just assumed the 40 A320s flat through the year. We also recognized that we had not been supplying parts at the 40 rate. So we were, let’s say, 32 the 35 build sets we guesstimate. It is always difficult, both when you are at the both first year and through second-tier levels in the supply chain. And as you know, through our engine products business, we operate through both GE Aviation and also Pratt & Whitney for the two engine variants for the A320. My expectation is that destocking will - I’m going to take a swag at this now. We think that will have completely dried up by the end of the second quarter. And we are going to have to start building some products ahead, particularly as it goes to the 45% rate in the fourth quarter this year. So that is what I call the - when we all won bright spots, and we have got two commercial transportation in this Airbus lift, and that gives us -- it brings a little bit of a smile to our face. On the other hand, for Boeing at the moment, they have been building at seven per month in the back end of 2020, whereas we know we have been supplying less than half of that rate. So small numbers. And we just expect that to continue certainly through the first half of this year. And then when they raise it to, is it 10 and 20, and then hopefully, into the 30s by the second quarter of 2022, then well before then, we will have start matching the run rate of part shipments to the build rate of aircraft. Now the question is when does that occur? I don’t have a lot of information regarding the clearance of the Boeing inventory at this point. I note the RyanAir order. I note that there were 27 deliveries of the 737 out of the 450 aircraft parked up I think, in the fourth quarter, or by, which is great. But we know that given the fact that they built is aircraft in the fourth quarter. That is just a little bit low the build rate, more than the build rate, sorry. So there is still a lot to go. And so once we see that inventory dissipating as the information begins to flow this year, I think we will become increasingly confident in the Boeing stated build rates. Bear in mind to-date, in actual terms, all we have seen is reductions sequentially for the last 18-months. And we obviously note the planned increases. But for us to feel confident, we have got to see that aircraft park dissipated. And those increase in build rates reconfirm to us. So we tend to be a little bit cautious at this point in time.
Robert Stallard: That is great. Thanks John.
John Plant: Thank you.
Operator: The next question will come from David Strauss with Barclays. Please go ahead.
David Strauss: Thanks good morning guys. Probably for Ken. A lot of moving pieces here on the free cash flow walk 2020 to 2021, it looks like you are at the midpoint forecasting about flat. Could you walk us through, Ken, just net working capital, kind of what you are thinking. I guess, pension is down a little, some cash taxes are up, CapEx is down, severance is down. And then what you are assuming for the securitization program? Is that a headwind this year as well?
Kenneth Giacobbe: Yes so a couple of things on the free cash flow that we have provided. We have got a nice improvement there on the pension cash contributions and OPEB contributions on a year-over-year basis. As you know, as we exited 2020 as the discount rate didn’t work favorably for us. It was about 80 bps unfavorable, that cost us around $200 million on the liability side. Asset returns were very strong for the business, over 14%. So that kind of netted out. But when you look at the work that we have done on the pension and OPEB program, especially over the last 12-months, we are going to see a favorability there. The other things I would look at the tax rate pretty much the same as what we have had before. You can see interest expense though that is most likely going to be as you do the walk around $290 million for the year. And the big question, David, and I know you are focused on it like we are, is the working capital, right. As we look at 2020, working capital was not a source or use of cash in 2020, right. We took down the AR securitization program, which was a $100 million burn in that number. So that is all embedded there. So it wasn’t a source or use even when we consider the bring down to the AR securitization program. So as we move into 2021, we think working capital, and this is all going to depend on, as John talked about the revenue ramp as we go to the second half of the year as well as some of the stranded inventory as we clear that out of the channel. I expect working capital to be a modest source of cash embedded in that $400 million guide that we gave you.
John Plant: The one thing we didn’t cover, Ken, was that we don’t plan any change in AR. The $100 million is done. We think we will just leave that alone in 2021 at this point of time.
Kenneth Giacobbe: Yes, right. Sorry, John, I missed that. $250 million there, can be no change.
David Strauss: Alright. And John, obviously, sitting with a pretty big cash balance, nothing on the debt side, I guess, to do. How are you thinking about share repurchase? And does your EPS guidance reflect any sort of capital deployment benefit or not?
John Plant: No, we haven’t assumed anything in our EPS regarding that. In my feelings on the cash balances. The thing I’m focused on more than anything at the moment is our 2022 bond maturities. And let’s say, if we wanted to, should we just roll them up on the due date or should we move early, that is a consideration, which we are sort of thinking about. So that is in the, I will call it, in the in basket. In terms of further share repurchases of any note. My thoughts there are is the trigger, I think, for us to be more aggressive in that regard would be seeing solidification of the on call, commercial aerospace build rate. And so the way I think about it is we have done some modest picking off of the shares over the last couple of quarters in terms of, would I want to be bolder than that in any significant way than it would be, once I’m convinced that the aircraft builds skylines, solidify becomes [worst] (Ph) from a fluid state, is it this or is it last? What is the widebody rate really going to be? That is the trigger for me to be more aggressive on that side. So taking cash and deploying into the share buyback of any major notice. The trigger for that is all centered on. If the skylines solidifies to a build, I feel confident in. I see those skylines begin to lift, particularly as we go in the back half into 2022. I see inventory being put into the system because those builds are scheduled rather than just talked about. And the good news is that we are told that we are going to see those Airbus increases, actually scheduled in February. So we haven’t seen them in the first two or three days. But we say, by the end of the month, we will see those in production releases. And then when you see that, you get more of a confidence than just a new skyline number. Because, as you know, that skyline, even on the more confident Airbus side move from - maybe it is going from 40 to 47 to, let’s see 43 than a 45 before moving maybe to a 40, 18, 22. So I would like to see it in schedule form rather than just News media form, and we need to just see what is widebody doing and then the clearance of the inventory for Boeing. And I think that is the point where I say, yes, we are good. We will have a pretty good view of what our incremental margins will be as we see that demand increase and then it is off to the races, maybe in terms of any cash deployment for share buyback.
David Strauss: Alright, it makes sense. Good luck. Thanks.
John Plant: Thank you.
Operator: The next question will come from Robert Spingarn with Crédit Suisse. Please go ahead.
Robert Spingarn: Hi good morning. John, just getting maybe a little more specific. Are there any kind of one-off opportunities that might drive commercial aerospace up in 2021? What I’m thinking of is that MTU talked about a 20% to 30% increase in MRO for them on the GTF on some incoming GTF work, low-pressure turbine upgrades, normal first time shop visits, hot section upgrades, those sorts of things. Are there some things there that can drive 2021 up?
John Plant: Right now, we have said to ourselves, our space profile is not going to change over the first two quarters of 2021 compared to the last two quarters in 2020 in any regard. So when you think about last year compared to the $400 million normal revenues we have, for example, in our engine business for commercial aerospace, the effective run rate for the last couple of quarters, has been like 75%, 80%, even 85% down, if we look at certain months. So we have just assumed that, that just continues, and we are not seeing anything and not choosing to believe at the moment that there could be an increase just because what is still out there, what could be cannibalized than moved off. We note that a couple of our customers are providing commentary around solidification of that into the back half of the year. And I think we are willing to accept that, albeit at the moment, again, it is difficult to plan for it. I have always thought that we would see some narrow-body build rate increase is necessarily before we would see a large increase in MRO. But when it does come back, then clearly, that is going to be a benefit for us because striding along, let’s call it, only 25% of normalized levels or less is pretty tough. And we just assume that is the case for the next two quarters.
Robert Spingarn: Okay. And then I know it is a delicate topic, but I thought I would revisit just the idea of Pratt and their new airfoils facility. And if there is any more insight into what is happening there? And if that is going to be work that might share in your markets or if it is separate and separate content from what you do?
John Plant: First of all, it is not a delicate topic. It is pretty straightforward, really. Pratt decided back in 2017 in the year after they had sold their previous business in air oils to make selective reimbursement. They felt the need, first of all, to acquire some business to be able to provide more accurate coring for those castings because previously, they have never been able to achieve, I believe the yields, which are necessary to be cost-effective in that regard and obviously, the quality performance that comes out. The investment is exactly the same as previously stated, $650 million, as we think. It covers both the casting, coring, hole drilling, machining, coatings. So there is a lot of stuff in there. And our view is that the increase in spares demand let’s call it in that 2023, 2025, 2027 time frame, the spares demand is slated to grow very significantly. Then all of that capacity could be used for that. What we also note is that we have renewed our LTA with Pratt in this area. And so all is good. Nothing to comment further, really, no information that we have had.
Robert Spingarn: Okay. Thank you very much.
John Plant: Thank you.
Operator: The next question will come from Seth Seifman with JPMorgan. Please go ahead.
Seth Seifman: Thanks very much and good morning. We saw some nice growth in the defense end market, and you talked about further growth going forward. The main customer, I guess, Pratt & Whitney had some good growth in 2020. You talked about things sort of flattening out. Lockheed’s talked about the F-35, production rate sort of nearing a run rate. So do we think about defense growth this year sort of the year-end run rate sort of normalizing and not driving the growth or have there been share gains or maybe places outside the F-35 that might be able to continue to drive growth there?
John Plant: Yes. Again, maybe in perspective for yourself, F-35 is about 40% about defense sales. So it is less than half. So we do have a lot of significant defense business elsewhere. We supply GE with a lot of military FL applications and other structural casting applications as well as Pratt & Whitney. So I just wanted to baseline that for you. Military budgets, even in the course of the year don’t necessarily move all in a similar percentage is often a little bit of a hike towards the end of the year. Money is spent. Budgets are when they are still deplete with money. And so my thought is that maybe the fourth quarter is a little bit higher just because we have seen that in previous years as well. Having said all of that, we believe our defense sales will be solid and increasing in 2021. The F-35 be a more modest part of that in terms of OE bill, maybe slightly more in spares build, but nothing of great note at this point and we just see generally the military budget for 2021, remains healthy. And it wouldn’t surprise us, we see the similar cadence through the year of, again, slightly lower in the early part of the year and slightly higher in the second half of the year when any budget moneys are spent.
Seth Seifman: Great. Thanks. And then as a follow-up, the idea of inflation has come on to people’s radar screens a little bit more recently. I think back at Arconic days occasionally in the TCS segment, there would occasionally be some aluminum impacts. Is that something we should be aware at all for the Forged Wheels business? And then in the rest, on the aerospace side, it is been striking to me the degree to which raw materials have not at all been part of the discussion. And so expect that to kind of remain -- should we expect that to kind of remain the case with the pass-through is working fairly effectively and not being really at consideration.
John Plant: Yes. I should as so if I have a call out materials as a massive issue, I feel like maybe I should shoot myself, that maybe that is a bit extreme. But when you are in the 90%, 95% let’s call it, 95% pass-through situation, then in the course of the year, that may be a quarter here in terms of a lag as if metals move massively. But in the normal course of, let’s say, metals corridors and there back-to-back agreements with our customer base, including wheels, so it doesn’t mean any matter whether it is an aerospace product or a commercial aluminum wheel. But whether it is cobalt or whether it is nickel or vanadium or aluminum, those are pretty much [indiscernible].
Kenneth Giacobbe: I would just add to that, Seifman, as John mentioned, 95% plus pass-through. And for the remaining piece, we have hedging agreements in place. So that whole volatility piece from Arconic Inc. days that goes away.
Seth Seifman: Great. No, that clarifies things. Thank you.
John Plant: Also just remind you that we had covered out that back for a lot of what is now Arconic Corp. in terms of aluminum pass-through and spend a lot of time correcting that in 2019 as well. So it was a diminished feature of that business and not a feature of a problem for Howmet.
Operator: The final question is from Noah Poponak with Goldman Sachs. Please go ahead.
Noah Poponak: Hi good morning everyone. John, everything I’m hearing from you on this call, I think, translates to this forged real margin, a little bit over 30% being sustainable, is that accurate? And then I wanted to circle back to the incremental margin you mentioned in the piece of the business that had better volume, can you quantify it for us? And then it sounded like you were saying you think of that number as translating to the aerospace business, kind of back half of 2021 or into 2022 as you have better volume, is that literally the case?
John Plant: Well, obviously, when I say it is -- let me use the back end of your question first. It was more of a directional comment. So as volume returns, I’m hopeful that incremental margins are healthy. I’m going to ask Ken just to give you the specific wheels incremental, because I told you it was rather good. And in terms of I think the wheels margin, which I think was 30% EBITDA margin in the fourth quarter, and it is sustainable at the volumes we are seeing and had. Yes, I do. I mean I have no intentions of that business going backwards it is EBITDA margin. So Ken, can you comment on the incremental?
Kenneth Giacobbe: Yes. Noah, so we have put a slide in the appendix that has the details for wheels in the other businesses as well. But as John mentioned, from an EBITDA perspective, Q4 at 35.5%, right. As we have adjusted the production footprint and leverage some of the low-cost country areas, we have also invested in them as well. So we have got the benefit of the geography, the global footprint. The team has done a terrific job in wheels this year in terms of taking costs out of the business quickly. And then as the volume started to come back was very surgical in terms of how we brought people back in. But the expansions that we have are going to help as we move forward. And the last thing I would mention is just the improved yields in that business as well. The production of the wheels business has improved over the last several years. So a real testament to that team. And I will give you one data point from a quality perspective, PPMs in our wheels business is less than 10. So one zero, right. So very good production process there as well. And the incremental from Q3 to Q4 was off the charts.
Noah Poponak: Right. Okay. Just one follow-up on the revenue, the sort of sequential walk for the revenue and the 2020 revenue guidance discussion. It would seem like most of the businesses outside of aerospace original equipment have some visibility into improving or already improving. And then within aerospace original equipment, there is just a lot of moving pieces given the unique situation with the MAX, the A320 sorting higher, the 87 is coming down. We are never exactly sure where you are. Can you just tell us in the 2021 revenue guidance you provided today, what are aggregate total aerospace original equipment revenues doing as you move through the year? Are those higher or lower exiting 2021 compared to exiting 2020?
John Plant: Higher. 2021 and 2022, that is pretty straightforward. I would say a lot of moving pieces complicated by inventory adjustments, but basically rising as we exit the year is what I will say, strongly believe.
Noah Poponak: Okay. Great. So the lift on the narrow-body side is more than the incremental step down on the 87?
John Plant: Yes.
Noah Poponak: Okay. Thanks very much.
John Plant: Okay. Thank you.
Operator: We have reached the end of the allotted time for the Q&A session. Ladies and gentlemen, thank you for participating in today’s conference call. You may all disconnect.